Operator: Good afternoon, ladies and gentlemen, and welcome to the CSX Corporation First Quarter 2018 Earnings Conference Call. As a reminder, today's call is being recorded. [Operator Instructions]. For opening remarks and introduction, I would now like to turn the call over to Mr. Kevin Boone, Chief Investor Relations Officer for CSX Corporation.
Kevin Boone: Thank you, Michelle, and good afternoon, everyone. Joining me on today's call is Jim Foote, Chief Executive Officer; and Frank Lonegro, Chief Financial Officer. On Slide 2 is our forward-looking disclosure, followed by non-GAAP disclosure on Slide 3. With that, it is my pleasure to introduce our President and Chief Executive Officer, Jim Foote.
James Foote: Thank you very much, Kevin. It's great to be here this afternoon with everybody on the call. Before we start with the slides, I would like to make a few comments. CSX had a very good quarter. We are drastically changing the way we operate the railroad by taking millions of unnecessary steps out of the business process that we use to run the railroad. This is producing record operating performance, improved customer service and, when combined, impressive returns to shareholders. The women and men of CSX have accomplished a lot. Clearly, first quarter results are a reflection of all the hard work that has taken place over the past year. We are proud of these results, and I would like to thank all CSX employees for their contributions towards achieving them. With that said, the plan recently laid out at our investor conference is a 3-year plan. We're only 1 quarter in, 1 out of 12, and we still have a lot of work to do to achieve our goals. The good news is that every day I feel a little more confident in our ability to deliver on these targets. And I want to take the time to highlight safety. On my watch, safety will always come first. We have some work to do to improve, and the team is committed to do so. To be the best run railroad, you have to be the safest. Now let's get into the deck, and we'll start with the Slide 5 on our highlights. And this should be a pretty simple quarter to walk through. We only had 1 extra day in last year's first quarter and, other than the restructuring charge last year, just a few relatively minor onetime events that Frank and I will point out. EPS increased 53% to $0.78 versus last year's adjusted EPS of $0.51. The increase was driven by lower costs on flat revenues, which drove a 19% improvement in operating income versus the prior year's adjusted results. The new lower cash rate and share count, down about 4%, also contributed to the significant year-over-year increase. Our operating ratio improved 570 basis points to 63.7% when compared to last year's adjusted OR of 69.4%, a record first quarter. I might be a little biased, but I think it's CSX's best quarter ever. Lower cost in labor and MS&O partially offset by price, driven fuel -- higher fuel costs, drove a significant year-over-year improvement. Going to the next slide, Slide 6. Total revenue was flat as price, fuel surcharge and supplemental revenues offset a 4% decline in volume and negative mix. We did see a slight sequential improvement in pricing, excluding coal. Looking at the business segment. Each was, to some degree, impacted by either outside influences or a prior period demarcating decision. Chemicals was impacted by a few items, including no fly ash movements that occurred last year, lower plastic and pet coke shipments and basically no crude-by-rail. Lower North American vehicle production and challenges with rail car availability, which was an industry issue, reduced auto. Ag and food was mainly impacted by lower ethanol business, which we exited because of its low or no margin. And fertilizer revenues, as I mentioned previously, were down due to the Plant City facility closure. Domestic utility coal declines were somewhat offset by a continuing strong export coal market. And intermodal saw strong international volumes. Other revenues increased year-over-year as liquidated damages contributed $19 million, and the remaining increase was driven by higher demurrage and other supplemental revenue. Obviously, we have changed the business practices in this area and are working with our customers to create a more fluid network. On Slide 7, let's take a quick look at our operating performance. We've highlighted some key metrics that are familiar with you. As we outlined at the Investor Day, we continue to make significant progress year-over-year in both train velocity and car dwell. We also saw improvement in train length and GTMs per available horsepower, which represent improved asset utilization and efficiency. It seems like almost every day, we set a new CSX record in one area of our operations or another. We are making progress, but there is clearly more opportunity ahead. Since the beginning of the year, we reduced another 142 locomotives and a total of 816 year-over-year. Service design improvements have been -- have seen a reduction in over 40.8 million expected annual car miles and 351 weekly crude starts year-to-date. Brian Barr in our mechanical department has done an exceptional job with line of road failures, improving 35% and doing it with a smaller workforce. Now let me hand it over to Frank, who will take you through the financials and provide more details on the benefits from the operational improvements.
Frank Lonegro: Thank you, Jim, and good afternoon, everyone. Turning to Slide 9. Let me walk you through the summary income statement. Reported revenue was roughly flat for the first quarter as a 4% decline in volume was offset by the benefits of increased supplemental revenue, higher fuel surcharge recoveries and solid core pricing gains. Moving to expenses. The P&L reflects our adoption of the new pension accounting standards where only the service cost component of our pension expense is now included in operating expense, while the remaining aspects of pension accounting now fall below the line in other income. Prior year results, including the geography of last year's restructuring charge, have been restated to reflect this new standard. Total operating expenses were 13% lower in the first quarter, 8% lower after normalizing for last year's restructuring charge. Overall, labor and fringe savings of $100 million or 12% year-over-year were driven by an 11% reduction in average headcount. Scheduled railroading enabled train crew savings on multiple fronts. A 22% increase in velocity and a 5% increase in train length enable an 8% reduction in road crew starts, while the elimination of 8 hump yards last year and a 20% improvement in cars processed per man hour drove savings in yards staffing levels. Improved network fluidity seen through the velocity and dwell metrics, combined with a 20% improvement in GTMs per available horsepower, has helped eliminate rolling stock assets. Our active locomotive fleet was down 23%, and the number of cars on line came down by 11%, the combination of which enabled resource reductions within our mechanical workforce. In addition, the efforts we started in early 2017 with our management restructuring to streamline the management workforce, eliminate bureaucracy and improve the speed of decision-making across the system and here in Jacksonville have resulted in significantly lower labor expense. Fewer management resources also resulted in lower incentive compensation expense versus the prior year quarter. MS&O expense was down 16% against the prior year. The asset efficiency of scheduled railroading, combined with improved year-over-year locomotive availability, resulted in lower fleet counts, yielding lower materials expense, lower maintenance and repair costs and lower levels of consumables. Given the sustainable nature of these asset reductions, we have sold or scrapped hundreds of engines and thousands of freight cars in the past 12 months. The locomotive fleet reductions have also allowed us to rightsize our contracted maintenance services agreement. Fewer crew starts and the more balanced network operating plan also drove reductions in ancillary costs such as hotels, meals and taxis. Efforts to streamline the workforce and reduce organizational complexity also apply to our contractor and consultant workforce. Working towards our broader total workforce targets for 2018 and beyond, we have made significant progress in reducing our labor footprint with savings from contractor and consultant reductions flowing to the MS&O line. Finally, continued efforts to monetize our surplus real estate portfolio resulted in $32 million of real estate gains in the quarter versus $2 million in the year-ago period. The gains in this year's first quarter are consistent with the guidance we provided at the investor conference, that we would achieve $300 million of cumulative real estate sales through 2020. Looking at the other expense items. Depreciation increased slightly due to changes in the asset base driven by capital investments, offset by asset sales. 24% higher fuel prices year-over-year presented a significant headwind, although our continued focus on fuel efficiency through better matching a horsepower to trailing tonnage and increased use of energy management and distributed power technologies drove year-over-year improvement in fuel efficiency despite harsher winter conditions this year. The equipment rents are up slightly due to higher incidental rents, though we are continuing to drive days per load improvements to reduce our car hire expense. Equity earnings were favorable primarily due to improved performance at our affiliates and tax reform true-ups. Lastly, we are cycling 2017's restructuring charges, part of which are now housed below the line due to the new pension accounting standard. Below the line, interest expense increased, primarily due to the additional debt we issued earlier this year. Tax expense was roughly flat on a 57% increase in pretax earnings, illustrating the favorable impacts of tax reform. Our effective tax rate in the quarter was 23.8%, though we continue to expect around 25% for the full year. All told, these pieces sum to the headline items Jim highlighted in his opening remarks. Importantly, the 63.7% operating ratio we achieved in the first quarter represents a meaningful step toward the 60% operating ratio target we set at last month's investor conference. Turning to the cash side of the equation on Slide 10. Capital investments in the first quarter reflect our recently announced 3-year capital target of $4.8 billion, driven by the reduced capital intensity of the scheduled railroading model. As we've said many times before and reiterate here, our commitment to investing in safety and reliability remains unwavering, and we have undoubtedly become a less capital-intensive company through improved asset utilization that reduces yard infrastructure and rolling stock needs and better processes that serve as an effective alternative to capital investments. Our free cash flow growth of 3% was more muted than our earnings growth would have implied. First and most importantly, estimated federal tax payments for the first quarter are not paid until April. As a result, you see the year-over-year benefits of tax reform in our earnings but not yet in our free cash flow. Second, as with any quarter, there are timing items that can impact free cash flow on a short-term basis. Here, we made back wage payments in the quarter to employees affiliated with unions that have concluded national bargaining. There were also timing differences in state tax payments and prepaid expenses. Bigger picture, the combination of core earnings growth, lower CapEx and lower cash taxes will drive significant free cash flow conversion and $8.5 billion of cumulative free cash flow through 2020. Finally, we were pleased to provide significant returns to our shareholders during the first quarter. On February 12, we announced a 10% increase to our quarterly dividend and meaningfully increased our share buyback program to $5 billion, with expected completion in the first quarter of 2019. As you evaluate our buyback cadence in the quarter, remember that our buybacks in the first half of the quarter were premised on a much smaller $1.5 billion program. Since implementing a larger program mid-quarter, we have capitalized on recent mark-to-market fluctuations and repurchased shares at a faster than pro rata pace. With that, let me turn it back to Jim for his closing remarks.
James Foote: Great. Thanks a lot, Frank. As I said at the very beginning, it's a very simple and clean quarter for everyone to understand. And so in conclusion on the last slide here, a little bit about the financial outlook. As I've said before, previously said, we expect the revenue to be up slightly for the year, and I have the increased confidence in this outlook given the start of the year. Also, as many of you are aware, as I am happy to say, not only to say it, but I am happy that we are no longer under the requirement to have weekly calls with the STB. We have improved our service, and I expect that to continue. As we demonstrated in the first quarter, we expect a solid step-down each year in the operating ratio. There remains significant work ahead in order to deliver on our 2020 target of a 60% OR. However, our goal of making CSX the best run railroad is in sight, and we are working hard to achieve that. So I would like to turn it back to Kevin now. We can start. Frank and I will be glad to answer any of your questions.
Kevin Boone: Okay. [Operator Instructions]. Michelle, I think we're ready to take questions.
Operator: [Operator Instructions]. Our first question comes from Chris Wetherbee from Citigroup.
Christian Wetherbee: I guess, maybe I want to start on the revenue side. So, Jim, you kind of outlined the outlook for some modest revenue growth over the course of the year. I guess, when you think about sort of volume and price, could give us a little bit of sort of help there? When you looked at yields in 1Q, they certainly were good. Can you give us a sense of maybe where core pricing is and maybe what that assumption is of mix of volume and price as the year progresses?
James Foote: Yes, I think what I said was prices sequentially improved slightly. If you exclude coal and if you look at the revenue, clearly, we are going to continue to see a slight tick-up as we go through the year in our supplemental revenues as we've implemented more specific demurrage policies as an example, and you'll see that in other. Fuel surcharge is going to move up and down as the year moves around. So I think there's a reasonable -- a reasonably solid environment out there for pricing. And based upon kind of expectation that we've put out there in terms of a year-over-year kind of slight increase, the run rate you're seeing there today in terms of volume and these other elements that increase or bringing together total revenue should be reasonably consistent with what you saw here as our -- and then as you remember, we've had a lot of onetime items in the prior year that we've demarcated. As an example, the 7% volume of intermodal that was taken off to railroad in late summer of last year as well as some other items. And those items, we begin to cycle. And so that's why we're a little more confident that the volume in the later part of the year begins to see more of an improvement than what we're having right now.
Christian Wetherbee: Okay. So cadence could get a bit better as the year progresses. That's helpful. And then just maybe a follow-up on...
James Foote: But a much shorter way of saying it, yes.
Christian Wetherbee: Yes. I appreciate it. Now your color was greatly appreciated. And then, I guess, just trying to get a sense of what maybe normal seasonality from an operating ratio perspective might look like. So you guys are doing some dramatic things on the cost side, so it's a little hard to kind of see through that and relate it back to your historical patterns from 1Q and then how the rest of the year typically plays out. Is there anything you can help us with and maybe, Frank, sort of headcount expectations? We saw where you ended the quarter. But anything you do on sort of the cost or cadence of the OR improvement in 2018 would be helpful.
James Foote: Clearly, the first quarter, so I think in everybody's opinion here, the first quarter is the toughest operating environment for CSX. And I'll let Frank jump in if he has anything additional to that.
Frank Lonegro: Chris, the only thing I'd add, as you implied seasonality for the rest of the year, remember that we had a couple of fairly significant onetime items in the second quarter, so you probably need to adjust a little bit for that one. On the headcount side, I mean, you see the 3,000 year-over-year in the first quarter, and it really doesn't matter whether you look at average headcount or ending headcount, we're down about 3,000 employees year-over-year. When you add in contractors, it's a little bit more than that on a year-to-date basis, about 1,100 down year-to-date, and that's against the goal that Jim set on the fourth quarter call of around 2,000. So we feel like we're in pretty good shape on that one. So hopefully, that gives you enough color to go on.
Operator: Our next question comes from Ken Hoexter from Bank of America Merrill Lynch.
Kenneth Hoexter: Jim, your thoughts on the service failures of some of your peer railroads. Does that impact your ability to continue this pace of improvement just given the amount of traffic that is interchanged between rails, whether it's your fellow eastern peer or even going west or north? Can you just talk about your -- the constraints that you see from that?
James Foote: Well, Ken, clearly, it's a network out there, and so we're impacted, to a degree, by our interchange partners, whether they be in the west at Chicago or Memphis or wherever or the Canadians, again, in Chicago or wherever we interchange traffic. So obviously, we would like to have a more fluid network. It's better for us. But I think if you look at our operating performance in the first quarter and if you look at the way we ran our network during the first quarter, if you wanted any proof that the scheduled railroad model works, you'd want to stress it. So I think we passed the stress test in terms of -- Hunter didn't build a dome over this railroad. We are operating in the same winter conditions as everyone else and in the same soup, so to speak, with everyone else, and we improved dramatically. And so I think that's kind of a -- shows the resiliency and the strength of our organization to perform even better in the future just based upon historical operating performance metrics.
Kenneth Hoexter: Yes. Truly a great job. Just didn't know if there was a limitation based on what you saw, but great job. The follow-up would just be on the sustainability of your other revenue surcharges. Does business adapt now that they see that you're increasing your rates on demurrage and other items? Or does that come back down as your customers adapt? Or do you expect that to continue to grow as you've changed the business based on what you've seen in the past?
Frank Lonegro: Ken, it's Frank. So we broke out for you the liquidated damages piece in the prepared remarks. So you've got that as an item, obviously, to look at on a onetime basis in the quarter. We're not trying to make tons of money on supplemental revenue. We're really trying to change the behavior of the customers so that we get into 7-day a week service, we get into balance, we get into the things that scheduled railroading is all about. And in some respects, we need the customers' help in turning cars fasters. So this is really intended to be a behavior change or -- I wouldn't imply the run rate that you saw here in the first quarter for the rest of the year. Think something more like the 1.15 type of a number for Qs 2, 3 and 4. And obviously, we're expecting the customers to change their behavior and not want to pay these charges going forward. But Jim's commentary on the top line should give you a sense of where we think we're going to be on a volume basis. So we feel pretty good about it.
Operator: Our next question comes from Tom Wadewitz from UBS.
Thomas Wadewitz: Congratulations on the great results, really strong OR and cost side performance. Wanted to, I guess, get your thoughts, kind of a granular one and then maybe a broader question. The comp and benefits per worker we were thinking maybe be up year-over-year was down, and, I guess, incentive comp was down. Can you help us think about, is that against the backdrop where performance is good? Is incentive comp going to be down in coming quarters? Or was that kind of a one-off? And how do we think about comp per worker as we look at second quarter, third quarter? Does that continue to be down? Or how would we think about that relative to first quarter?
Frank Lonegro: Got you. Tom, Frank. You're right, on a comp per person basis in the quarter, we were better by about 1%. And you're right, the driver is largely the year-over-year favorability on incentive comp, probably a tad of employee mix in there as well. As you think about modeling in the future, if you assume static employee mix, you're really just talking about inflation and then you're spreading your fixed costs. I think what you're going to see on the incident comp piece depends on how we do against our plan as the year goes on. We did have a fairly significant headcount reduction year-over-year that drove it lower in the first quarter. And then as you think about the fourth quarter, remember, we had a fairly significant reversal of incentive comp in the fourth quarter of last year that we'll cycle. That was the reversal of Hunter's options, if you remember, about $30 million number. So just as you think through how to model that, those are probably the big moving parts.
Thomas Wadewitz: Okay. So incentive comp might be down, but then you get to fourth quarter, it's tougher comp, it could be up. Is that...
Frank Lonegro: I think that's fair, yes.
Thomas Wadewitz: Okay. So then the broader question I have, I think you were asked this a little bit earlier, but with the 63.7% OR in first quarter, if you just apply kind of normal seasonality, you could be -- you could see 300 and 400 basis points of improvement in second and third quarters versus that. So that puts you at a 60%, 61% potentially second quarter, third quarter. Is that a reasonable framework that, that's possible you deliver that? Or should we kind of step back from that and there are one-offs in first quarter, whatever reason that, that type of pattern wouldn't apply?
James Foote: Tom, as I said, we delivered a very, very solid and impressive performance in our historically most difficult period. But as I said many times in my opening remarks, this ain't easy. So we're going to continue to grind and we're going to continue to do everything we can to continue to improve. But 1 quarter out of 12 isn't a game done -- game set match. And so you figure it out. But we got -- this is hard work, and we're going to hopefully -- hopefully, we're going to get better. But I wouldn't draw any kind of drastic conclusions from the enormous step-down we just had in 1 quarter.
Frank Lonegro: Yes. One other thing, Tom, just as you think about your year-over-year comparisons. Q1 of last year was pre-precision railroading. So you are not necessarily comparing apples-to-apples. Whereas, I think, as you go forward in this year, obviously, we made significant step-downs in Qs 2, 3 and 4 year-over-year against '16. So just sort of put that into the hopper as well.
Operator: Allison Landry from Crédit Suisse.
Allison Landry: Given the tightness in truckload and the service issues at Norfolk, do you think that your intermodal volumes could recover a lot sooner than you originally expected and I think is consistent with your comments at the Analyst Day? But how should we think about perhaps the cadence for the balance of the year and maybe what the potential upside is?
James Foote: Yes. Intermodal this year, like I said though, has a big hole to climb out of, to a degree, but as we move forward, I think that -- clearly, there is a lot of opportunity for us on the intermodal side, both internationally and domestically. But we have two specific goals in mind as we look forward for intermodal, which I think we outlined at the investor conference, is, one, to make sure we improve the overall efficiency of the network and concentrate in the key corridors that are best for us; and then secondly, focus on the profitability of the business. And so just because there might be a lot of intermodal and truck business that's available in the marketplace right now, I'm not going out and just chasing it to put volume on the railroad. So we're going to logically and methodically move forward with the rollout of our growth plan. And so therefore, I'm not looking for a major, major upside in what we've already told you.
Operator: Scott Group from Wolfe Research.
Scott Group: So wanted to start on coal. Maybe if you can share some views there. Met prices kind of dipped a little bit below 200. And how you think about export volumes and maybe coal yields on a sequential basis given some of the step-down in met prices. And then maybe just some views on utility coal volumes that were down a bunch in first and how you're thinking about that rest of the year.
James Foote: Yes. Let's take the second part of your question first, utility coal volumes. You know what the challenges are there in terms of the southern utilities here and the other ones that are most -- becoming more vulnerable. Northern utilities were stressed a few years ago, domestic utility coal volumes. And now it's kind of moving into the south. And so as gas prices stay low, we're going to try to do everything we can to keep those utilities up and operating, but it's a challenge for us. And so we're expecting that the domestic utility side of the business is going to remain under pressure, absent some other forces that would change that. On the export side, the -- both the thermal and met coals have remained relatively strong, stronger than we had originally expected. And the outlook for this year is that, that strength should continue. And we're not seeing -- even though some of the metrics that are used to price the business, like the API2, are starting to trend down slightly. The demand is still there. So we'll continue to do everything we can to maintain the domestic utility franchise, and we'll continue to run the wheels off the railcars to move as much of this export coal, whether it be thermal or met, as we possibly can as long as the demand is there.
Scott Group: That's helpful. Jim, can you just say, do you have a big length-of-haul difference to southern versus northern utilities?
James Foote: I think we do, yes.
Scott Group: Longer than the south.
James Foote: Yes, yes. That's why it's -- I guess, one's the south and one's the north. And the mines are more located in the north, so we run it further.
Scott Group: Okay. And then, Frank, just quickly, can you just clarify what your point was about the buyback? And I know you didn't have the new bigger buyback until sort of the middle of the quarter. What's sort of quarterly run rate should we be thinking about for dollars on the buyback?
Frank Lonegro: Well, it depends on what the stock price is, to be honest with you. But, no, we're obviously in the market pretty heavily, about $835-or-so million in the first quarter. The point I was trying to make was, if you were looking for a straight pro rata version of the $5 billion over 5 quarters, given the fact that we entered the program mid-quarter, we didn't obviously hit that. But from a run rate perspective, if you had forgiven the first 6 weeks, which were under the earlier program, we were ahead of a pro rata from that level. And obviously, it's going to depend on our prognosis for our performance for the year. It's going to depend on what we think the economy is going to do. And it's going to depend on what the market's reaction to our performance is. We're clearly going to return a significant amount of capital to shareholders over the coming four quarters. We've dimensionalized that for you. The exact cadence, I think, is just going to depend on the factors that I mentioned.
Operator: Our next question comes from Fadi Chamoun from BMO Capital Markets.
Fadi Chamoun: I just want to go back to the volume kind of questions. So you've kind of outlined at the Investor Day to us that, ultimately, the improved cost, improved service, your ability to kind of start leveraging that to grow the business faster is more of a 2019, 2020 story. But I'm wondering, given some of the service issues we're seeing elsewhere and the trucking capacity problem, is there kind of an opportunity here to see an acceleration? How's kind of the conversation with customers going? How do you feel about your ability to begin to leverage this service and cost story a little bit earlier?
James Foote: It was only like six weeks ago, or whatever it was, we were in New York and kind of laid out this plan, and the weather conditions across North America were brutal at that time and the railroads, to a large degree, were having issues at that point in time. And everybody in the world knew about ELDs and all kinds of challenges that were there. So there's not been a lot of major -- there haven't been really any kind of external influences that would make us change our minds right now in terms of what we see for the rest of the year, which is kind of what I said at the -- in summary. What I said 6 weeks ago is kind of where we still are. Obviously -- and we're running our railroad 6 weeks ago really good. So like I said, not only externally, but internally, there's not a lot of change. And so our service is second to none. And our strategy to leverage that service and make sure that we are appropriately compensated for the service that we provide is still our strategy. And so that is not something that you want to turn on a dime and discount in order to put volume on the railroad. So it's going to be a methodical, strategic, rational growth story as we go forward and as we improve the efficiency and as we clearly distinguish our ourselves in the marketplace and show to the customers that we can create value for them. We will begin to have the growth. I believe we'll continue to have the growth or we will achieve the growth that we outlined to you in 2019 and 2020 and I see no reason to try and do something to accelerate that strategy.
Fadi Chamoun: Okay. And maybe just 1 quick follow-up. When we look at the intermodal pricing, like what you're reporting in RPU and intermodal, like how well aligned is this with the current market rates that we're seeing on the truckload side? Or is there an opportunity to kind of move that materially as you kind of begin to touch a little bit more of your contracts?
James Foote: I have the ability -- I do not have the ability to price my portfolio of business to the markets on a daily, weekly or monthly basis. We have kind of long-term contracts with our existing customers. So a large part of that business is locked up. The pieces of the business that aren't, I will take advantage of the market environment to price the business appropriately, but that's kind of methodical. These things roll over a little bit here, a little bit there, a little bit in the summer. So -- but more so than just a tightness in the truck market is the differentiation now in the quality of my service. And the reliability of my service is what's going to be the main factor in driving growth in the future.
Operator: Our next question comes from Amit Mehrotra from Deutsche Bank.
Amit Mehrotra: Just first question, Jim. Can you update us on how the apology tour is going and anything tangible you can share following the disruption last summer? And kind of related to that, Canadian Pacific put out a release last week. Seems that there's still significant gaps in terms of them reaching an agreement with their unions. If you could just help us think about what the exposure, if any, I'm sure there is some, for CSX, if there's any type of work stoppage at CP, either on the revenue side or the -- related to the cost actions.
James Foote: No apology tour anymore. That's canceled. Nothing to apologize for. The railroad is running great. The railroad is running -- again, if you look at the metrics, our railroad is running better than anybody else in North America. And -- so I got a suitcase that it says I apologize on it. So maybe one of the other railroads wants to borrow it, but I'm not using it. In terms of the Canadian Pacific, I don't know if they're going to have a strike or not. I don't think they know if they're going to have a strike or not. And so I can't really speculate and I can't comment on that.
Amit Mehrotra: Well, I'm not asking if they're going to have a strike. What I'm asking about is if they do, like what's the exposure to CSX?
James Foote: I think that's a hypothetical question. So I just said I'm not going to speculate.
Amit Mehrotra: Okay. I'll move on. And then just one quick one for Frank on the buybacks and debt levels. Just from the perspective of the rating agencies, I guess, the rating agencies look at balance sheet capacity and buyback. I guess, they have a couple different metrics and can -- maybe even conflicting with each other in terms of retained cash flow and the way they compute that versus maybe adjusted debt to adjusted EBITDA. And you could be well in the parameters of retained cash flows as a percentage of your total debt but kind of out of the parameters of adjusted debt to adjusted EBITDA. So maybe it's a little bit too technical for sure, but if you could just help us think about how CSX thinks about its balance sheet, pro forma for all the share repurchases. You surely have the capacity, but just philosophically, if you can just help us with that, and we'd appreciate it.
Frank Lonegro: Sure. We spent a fair amount of time with the rating agencies earlier in the year as we looked at our credit profile, we looked at debt that we wanted to raise this year, we looked at the sizing of the buyback program, et cetera. And I think we have a good understanding of where the breakpoints are. They obviously look at 2 key things at a very high level, one is leverage, and the other is coverage. And I think what tax reform has done is probably allowed a little bit more room on the leverage side because you've got more coverage, because you've got more free cash flow. So I think we've struck a very good balance. I think we have a very good understanding, and I think everything that we are proposing to do on the buybacks as well as on debt issuances later in the year are all right in line with the conversations that we have with them. So we feel like we're in really good shape.
Amit Mehrotra: So just to press you a little bit more, if I could. As we look out beyond sort of the $5 billion framework that you provided and we kind of flex the beyond 2019, is it now kind of 2.5x net debt-to-EBITDA, which is maybe obviously a little bit higher on a gross debt basis? I mean, is that the right sort of benchmark that we should think about from a modeling standpoint?
Frank Lonegro: We said at the investor conference, and I'll reiterate here, that we're going to look at that on an annual basis.
Operator: Our next question comes from Brandon Oglenski from Barclays.
Brandon Oglenski: Jim, can you just remind us of the level of business that you've looked at and said we don't really want to have that on the network anymore. Because as we look at your volumes trending early in the second quarter, I think you guys are close to flat on the publicly available reports. So how do we put that in context, the business that you walked away from?
James Foote: Well, again, on the intermodal side of the business, as I think we've said in the middle of last year, we started to transition away from what we referred to us the hub-and-spoke model in intermodal. And in closing a number of lanes that we served, we took about 7% of the intermodal traffic off the railroad. And we're getting close to getting intermodal volumes back to flat with prior years, so we're replacing a large percentage of that business. And if our run rate is getting close to, on a volume basis, flat, that would kind of give me, as I said earlier, a little more confidence that we're going to be able to have a revenue line for the year which is slightly up. So it all kind of fits in with our prior view of the year that the volumes would strengthen across the board with coal as always being somewhat of a question mark for us, but they would strengthen as the year progressed, and we'd see enough in the second half of the year to offset what is a 4% decline in volume in the first quarter.
Brandon Oglenski: Okay. Appreciate that. And when you look across the network, you do have headcount down quite a bit. I mean, like everyone talked about, your OR has improved pretty aggressively here. But what is left on the structural side? I mean, if you did have a big influx of demand, do you think the headcount levels can still come down or are you at a point now where you would have to be thinking about hiring more people and bringing on more assets?
James Foote: Clearly, clearly, you'd have to have some sort of monumental increase in volumes for us to begin considering hiring employees back and assets. No, we've got 800 locomotives in storage. So we're in great shape to handle any kind of increase in volume. Forget about taking assets out. We still intend to improve the fluidity of the network. We still intend to improve velocity. We still intend to drive down dwell. We still intend to increase train length. All of those initiatives do two things, one, improve our operating leverage, drive -- which by driving down our cost and improving our efficiency, but they allow us, because of that, to add additional volumes with our existing asset base that we have today. We're handling just about the same amount of volume that CSX handed -- handled a year ago with 8 fewer hump yards, 1,000 fewer locomotives, 4,000 fewer employees, 20,000 fewer railcars. So putting more volume into this railroad that is going to continue to improve to be operated more efficiently is not going to be a challenge for us.
Operator: Our next question comes from Brian Ossenbeck from JPMorgan.
Brian Ossenbeck: Jim, just a follow-up on the train length. I've been able to track those improving in the West and up North, but it's more recent phenomenon in the East. So I was wondering in a detention network, are there actual physical limitations to building train lengths, grade crossings or something like that? Or was it just more temporary and you just need longer sidings, the right balance to keep that track going?
James Foote: No capital necessary in order for us to improve train length. We are not restricted by siding length. We'd have a long, long way to go before we would need to spend capital to be able to get, say, 12,000-foot trains out there. But if we were, that'd be good news probably, which I'm sure we'd consider if necessary. But that's not in our 3-year vision to be -- to have to spend capital to do any of those stuff.
Frank Lonegro: Brian, two other things I'd add to Jim's good comments. One is we invested a fair amount on what we call the Southeast corridor, Chicago into the Southeast in the last decade or so, so we're leveraging that clearly. And then as Hunter, Jim, Ed and others have really looked at the network operating plan, we've done a fair amount to reduce congestion, i.e., to reduce the number of active trains. The number of meets and passes that you have in any given day is a lot less than it used to be.
Brian Ossenbeck: Okay. Is there anything specific to the East, physical limitations, tighter, shorter distances between grade crossings that would limit train length growth from here?
James Foote: No. No different.
Brian Ossenbeck: Just wanted to clarify that. But if question was, just to go back to intermodal for a second, talking about disciplined growth in that business. Can you give a sense as to how you're handling the demand? But dwell times are up the terminals across the whole industry, so specifically, I wanted to get your comments on some of the terminal performance in the larger hubs like Memphis and Chicago in addition to the trade capacity serving those markets.
James Foote: Well, we have improved the efficiency of our Chicago terminals, both Bedford Park and 59th Street significantly. Everybody had challenges at Christmastime, especially in Chicago and Memphis when the winter weather came in at Christmas day and just hung around for a month, so it slowed everybody down. Our dwells are -- both originating containers in our intermodal terminals and containers that arrived in our intermodal terminals, our dwells are down because our train service is becoming more reliable and predictable. And therefore, the trade community can rely upon us to be there and handle load for them to haul away. And then at the same time, as we mentioned earlier, with us being more clear in what we expect of our customers in terms of when those containers come into our terminals that we want them out. And if they don't want to get them out, they have to pay to store them. That is increasing the throughput and the fluidity of those 2 main terminals there. Again, Memphis has been a challenge for us, but Memphis is now running smoothly. And again, and I have a big focus on our intermodal terminals for this year. And I'm sure. I'm positive. In fact, I was just in Chicago going through our Bedford Park and 59th Street terminals. I'm sure that we can make improvements there that will improve throughput, which basically adds a significant amount of capacity without spending any money.
Operator: Matt Reustle from Goldman Sachs, you may go ahead.
Matthew Reustle: Maybe if you can touch on asset sales for a moment here. Made some progress in the quarter. What do you expect to be the driver -- what determines whether you hit that $300 million base case or that $800 million in upside that you highlighted at the Analyst Day? Is it simply demand in the market? Are there certain assets that are tied to federal grants that make up a big portion of it? And I guess, if you can categorize the market for asset sales now, that will be helpful as well.
James Foote: So on the real estate side, we're seeing, obviously, pretty stiff demand for what we put out there for sale. Mark Wallace and his team are working awfully hard to free up assets that maybe haven't been for sale for a while. Obviously, you saw a good down payment on that $300 million in the quarter from a line sale perspective. You've probably seen a little bit of traffic out of the STB on a couple of items that we have out for bid right now. And you'll continue to see us focus on that. It is not a demand-side problem. There's a lot of demand out there for infrastructure-type assets, so we think we're hitting the market at a pretty good time.
Matthew Reustle: Okay. Got it. And just one more on the higher demurrage charges. Is this a case where you're hiring good rates on customers? Or is it you're becoming more strict on the chargeable days. Maybe you can walk through that. It seems like quite a jump for some of these customers' in just in one quarter.
James Foote: Well, basically, what you're talking about is here is demurrage or detention, which is a standard operating practice throughout the transportation industry, whether it's the railroads, whether it's the steamship companies, whether it's the terminals. If your asset sits around at somebody else's property and you don't get it out, they charge what for what sits there because they can't use it while your equipment is sitting there. All of these charges, to a large degree, have been on the books of CSX for a long time, but were not necessarily enforced aggressively, or for one reason or another, a customer here or a customer there was given an exception to the policy because it was viewed as an incentive to the customer to come and do business with CSX. Under our current model, under scheduled railroading, we're focused equally on providing our customer with a fair value for what they pay us. But at the same time, having an intense focus on the value of our infrastructure and the value of our asset, and we are not just going to give that away anymore. So as -- again, as Frank made his comments, this is not something necessarily that we want to view as a profit center that we want to, in any way shape or form, gouge our customers. It is a simple fact of life that, again, when the car sits on our network, that -- or it is our car that has been delivered for unloading and it's not unloaded, we expect to be compensated for either the use of our track space where the cars are sitting or the use of our asset while it's -- we can't use it for another piece of business. And again, these are standard industry practices that we just are applying in a more uniform and consistent manner.
Operator: Our next question comes from Justin Long with Stephens.
Justin Long: So maybe to address service first and take a bigger-picture approach. Clearly, you've shown improvement, but some of the other rails are struggling. Jim and Ed, you've seen a lot of service disruptions in the industry in the past. You know what it takes to fix some of these issues. With that in mind, when you look at the North American rail network as a whole today, do you have any thoughts around the timing of when we can return to an environment of normal fluidity?
James Foote: No. I can comment on how CSX is running. I can't comment that, on when other railroads are going to do that. It'd just be inappropriate for me to comment.
Justin Long: Okay. Fair enough. And maybe to go back to pricing for my second question. Seems like things are moving higher, coal being the exception. Could you talk about your view on coal pricing going forward? I'm just curious if you expect this downward pressure to continue and if you're pursuing any changes as it relates to the percentage of your contracts that have a fixed component.
James Foote: Well, two pieces of businesses here, the export business, both of the thermal and met, pricing is kind of driven by other indices -- indexes that we really don't have a lot of control over, and so that piece of business kind of goes up and down with those indexes. On the utility side of the business, clearly, the coal-fired utilities, in competing with other utilities, generating facilities that are using natural gas to generate -- to run their turbines, the coal guys have a disadvantage just on a cost per million BTU basis. So to the extent that we can work with those customers, those coal-fired utilities, to give them a more -- a lower-cost basis on a delivered per million BTU basis, i.e., might involve cost of the coal post our transportation, we're going to try and do that and see what happens. There is a lot of coal to the utilities. The majority of the coal that comes from either the Powder River Basin or the Illinois Basin going to our utility. So there is a longer haul. The transportation component of that is larger than what has historically been the case just because it's moving a farther distance. And so if we can do something in that marketplace that will help our customer, that will allow us to use the fact that we've got coal assets, cars and locomotives to move it and it produces to us a very good return, we're going to try to do that.
Operator: Our next question comes from Ben Hartford from Baird.
Benjamin Hartford: Jim, any perspective on international intermodal, in particular, your service being a standout relative to the other rails. But any other concerns for the steamship lines with regard to network fluidity broadly in diverting some of the flows away from the East and the Gulf Coast over to the West to improve transit times? Have you seen any or have you heard any talk about that as we enter the spring peak?
James Foote: I'm putting up a big for sale sign in, let's see, Jacksonville, Savannah, Virginia, Baltimore, New York, New Jersey. Open for business. Bring it in. We can handle it all. So I'm good to go. I'm ready to handle their freight and not going to -- not a problem.
Benjamin Hartford: Okay. And then more broadly on protectionism. Several weeks now into -- a lot of the rhetoric around tariffs, obviously, on the steel and aluminum side and, on the grain side, down more recently. Any thoughts that you have as it relates to consequences near term that may have arisen given the rhetoric that we've now been absorbing over the past couple months?
James Foote: No. I keep being asked to become an expert on tariffs, and I'm not. And so right now, everybody -- yes, everybody depends on what day it is as to whether or not this is viewed as a good thing or a bad thing. Anecdotally, we're looking at moving some more petcoke, and we're looking at some steel mills on a rail we're opening up. So that's just anecdotally. So I'm sure as things play out, if anything does come to be, there will be negatives and positives in it. And it's too early to try and guess what those might be.
Operator: Cherilyn Radbourne from TD Securities, you may go ahead.
Cherilyn Radbourne: Just wanted to ask a question around routings. One of the things I was struck by at the Investor Day was just how, in closing hump yards and in moving away from the hub-and-spoke system in intermodal, you'd eliminated some what would seem like very dysfunctional routings. Could you just speak about what impact all of that has on length of haul in merchandise in intermodal and what, if any, implications that has for RPU in those franchises?
James Foote: Well, again, if you take an inefficient -- if you route a car in an inefficient manner, basically, you have artificially increased the length of haul, assuming that you can haul it in a more direct fashion and assuming that you do. And so by improving the efficiency of your network and by taking out all of these millions of out-of-route miles that we move cars on an annual basis, you're going to, theoretically and I would think actually, reduce your length of haul. At the same time, your revenue, if you just look at it on a revenue per unit basis, it's not going to change much. If you can get to a cents per revenue ton mile, you would see an increase because you're going to get the same amount of revenue and having less of the ton mile. So it's kind of a -- there are different metrics, but I think what you're trying to get to is taking something and moving it in a straight line is going -- versus a crooked line is going to be less miles, and you're still going to get paid the same amount of money for doing it.
Cherilyn Radbourne: Great. And then maybe just by way of a quick follow-up, in terms of the equity earnings of affiliates, that's a new income statement line item. Frank, can you just give us some help on how to think about a normal annual run rate for that?
Frank Lonegro: That's a great question, Cherilyn. So the equity earnings of affiliates, the reason that we had to create that was because the nonconsolidated subsidiaries, so you might know those as Conrail, TTX and the Belt Railway of Chicago, among some others, they had to actually revalue their deferred tax liabilities. And because of the size of those revaluations, we had to carry it as a separate line item. You saw a $25 million benefit in the quarter against a $13 million benefit last year. Obviously, those affiliates, when industry volumes are up, they do better. And when industry volumes are down, they may not do as well if they're not pulling costs out the same time. We did have some tax true-ups in there. We said on the call for the fourth quarter, we said think about a $10 million to $15 million per quarter credit there. We're probably at the top side of that one if you're thinking about it from a run-rate basis.
Operator: Our next question comes from David Vernon from Bernstein.
David Vernon: I just wanted to clarify, Jim, it sounded like you were talking a little bit before about the coal business trying to maybe get a little bit more aggressive to grow some utility coal business using price. Is that -- did I hear that correctly? Or what are you trying to get at with the utility coal pricing commentary?
James Foote: Basically, what I said, yes, is on the Southern electric utilities to the extent that we can work with our customers, i.e., if it makes economic sense for us, CSX, to be more aggressive on price to keep those utilities up and running and using coal, we will try to do that.
David Vernon: And can you bound that for us as far as kind of any sort of directional indicator of how much room there is to move in that stuff on the rate?
James Foote: We have room to move.
David Vernon: All right. And then maybe -- I'll follow up with Kevin off-line. But maybe, Frank, question for in the MS&O. How do you reconcile taking a lower accrual on the personal injury when the accident rates are up as significantly as they are in the quarter?
Frank Lonegro: So what the actuaries do, this is not something that we do, it's something that we work with actuaries on. They look at probability and severity, so it has to do not just with the number of incidents but also the severity of incidents in its overall longer-term period of time. We give them all the data, they run the numbers, and we adjust the accrual as necessary. In some quarters and years, it might go up. In other quarters, it might go down.
James Foote: Our accident rates -- actual accident rates in the first quarter this year, or not?
Frank Lonegro: Yes, but the raw incidents that we had were roughly flat, both on a personal injury and a train accident basis. But obviously, what moves the ratio is the denominator, which is per million train lines on train accidents and 200,000 man-hours on PI.
David Vernon: Yes. I mean, they're indexed to the volume of activity, right?
James Foote: Right, which is not -- I'm not suggesting that, that's inappropriate. I'm just saying someone can look at the number and say, "Oh my god! They're having a lot more accidents," when actually, we're either equal to or slightly less than, depending upon what day it is going forward in the year, kind of back where CSX historic -- to historical run rates and moving up vis-à-vis the rest of the industry in terms of these numbers.
Frank Lonegro: Yes. And the thing you have to remember, David, is in the frequency index, a sprained ankle counts the same as an amputation. I mean I hate to be that graphic about it, but what we look at and what the actuary looks at it is what is the frequency, so we talked about that, and then what is the severity based on our recent experience. So that's why you see the change.
Operator: Our next question will come from Walter Spracklin from RBC.
Walter Spracklin: What I'd like to focus in on is some of your opportunities after the full implementation of your precision railroading is rolled out and your service levels are really salable. Jim, can you focus in on what you've seen as areas or sectors that you really see CSX as being able to grow into a little bit more than either competitors or more than it has in the past? Are there any sectors that really excite you with regards to that of selling your service model once we kind of get through this phase of de-marketing and slower growth -- slower volume growth in 2018?
James Foote: Well, clearly, much as you're familiar with this, much as that way we looked at this at the Canadian National in the early days, the benefits of this are on the merchandise side of the business. And having, on a revenue basis, 2/3 of your business tied to the merchandise segment, that's where you want to focus, and that's really where the value comes. And those are the customers today that are the easiest to convert because in most -- well, in all cases, they're shipping already today by rail, they're comfortable with shipping by rail, they're sophisticated and big customers who are shipping by rail and they're paying a premium price to move a large product -- same product that they're moving by rail in the truck where they want to get reliability. And the big area of opportunity is to convert those customers and other customers like them to your network on the merchandise side of the business. Half of the intermodal business is looking just for price, and the other half of the business is looking for just price, but at the same time, a really high premium service. So the area where you can focus and do the best good for CSX and the customer base is on the merchandise side of the business, and we'll be transitioning a much greater focus on the top line in the out years, than just truing up and improving the basic operation of the railroad.
Walter Spracklin: Okay. That makes a lot of sense, Jim. And so reliability, how long do you think -- clearly, you're going to be increasingly -- have a reputation for higher reliability. How long do you think before those truck customers buy in and trust that by going over they're are going to get that reliability? Is this something that you got to build out over quarters or over years? How long do you think that'll run?
James Foote: Days, week, quarters, months, years, it depends upon who the customer is. It depends upon where you're doing it. And most of it as in any business, you got to go in and sell to the customer on the idea of converting. And as I said earlier, these guys are sophisticated purchasers of transportation that know rail and they know truck, and they'll scream at you every day that they have to pay premium prices when your service is not good, i.e., they got to pay more to put it in a truck. And so you just got to go onto them and prove lane by lane by lane by lane that you can handle their product to their valued customer and do it in the same way at the same level efficiency and reliability that they get out of a truck. They don't necessarily need it there at 24, 48 hours. They needed there with a degree of reliability that if you say you're going to do it in 4 days, it's there in 4 days 85%, 90% of the time. And if you can do that and not have the outlier where, "Oh, that load didn't get there for 12 days, and this one didn't get there for 10 days," that's how you win it back.
Walter Spracklin: Makes a lot of sense. Okay. Last question here. Senior management, now when you look across a group -- you got a good set of railroaders here. Any areas where you think you're going to be looking to add or ameliorate over the next -- in 2018 in your senior management ranks at all?
James Foote: I think, well, clearly, based upon the results and the performance and everything I've said since I've been here, we got a great team of people that know what the heck they're doing. And as I said, I'll match these guys up with anybody in the industry, and I think we've proven that with our first quarter results that we can perform with anybody. And -- but yes, there are some holes to fill in the organization that everybody is aware of. And Ed and I are working very, very hard to make sure that we find the right people and the right talent who can fill those roles. And we'll probably -- moving some things around by -- during this year more to give people, again, opportunities to show what they can do in certain roles. And we're not sitting still and sitting back on that area either. Everything here is all systems go, improve the place and run it better and better every day and make sure we have the future leaders for CSX ready to go when called on.
Operator: Our next question comes from Jason Seidl with Cowen.
Jason Seidl: I wanted to touch back on price a little bit, excluding the coal franchise. Jim, I think you mentioned there was some sequential improvement there. Can you give us a sense of how much of your book of business for 2018 has already been repriced?
James Foote: In what segment of the company?
Jason Seidl: Ex-coal.
James Foote: All right. I guess it's safe to say that kind of we have -- best way, say, 1/3 of the business rolls over every year. That's kind of a good metric to use. And we can't -- I'm not going to -- can't give you any much more guidance than that.
Jason Seidl: Okay. And piggybacking on some of your comments on the call. You mentioned that you might change some of the pricing dynamic. Should we think about it as maybe you guys setting this up something that links to a natural gas index like a Henry Hub to be more flexible given some of the utility's needs?
James Foote: That would be the obvious methodology to use.
Operator: Our last question comes from Ravi Shanker from Morgan Stanley.
Ravi Shanker: Just wanted to make sure I understand your strategy on intermodal here with what's going on in the truck market. Are you saying that you are focusing more on getting pricing from existing customers versus focusing on truck-to-rail conversion? Or is it -- or are you pursuing the volume opportunity as well?
James Foote: Well, clearly, we're focused on two things, one, growing the business; two, profitably. So volume with price equals top line growth. And whether that's an existing customer giving more volume or whether it's a new customer that could give me volume I don't have today, that is always the equation. I do not have a scorecard in my office that says R to R, or whatever you call it, road to rail and how many did I get today. That's not a game that's going to make me any money. Just taking a truck off the highway and putting it on the railroad, if it's not priced right and it's not moving in the right and specific corridor, it adds no value to me. And at the end of the day, it adds no value to the customer because we probably don't do a very good job for him. So whether it's an intermodal customer or whether it's a merchandise customer, the whole objective here is to go to the customer and say, "I can provide you with value," whether it's the merchandise customer that we talked about before or whether it's the intermodal customer who wants to take advantage of the railroad in connection with his over-the-whole trucking -- over-the-road trucking operation. I need to provide value to him and make sure that, that value to him, I get paid for. And if the 2 don't align, if the guy wants me to add value and expects me to give him a discount at the same time, then we don't -- the stars don't align, and he probably goes someplace else.
Ravi Shanker: All right. Understood. And just one housekeeping for Frank. On the real estate gains, I think you had indicated at the Analyst Day that you expect that run rate to step down in 2018 versus 2017. But you had $30 million higher this quarter versus last year. I know that's a lumpy line, but what can we expect in terms of the cadence of that in the coming quarters because right now it looks like it's going to be a significant headwind unless you guys kind of step into the extra $500 million bucket?
Frank Lonegro: So Ravi, we're not trying to time this at all. When the assets are up for sale and they are ready to close, we close them. Like you said, it's going to be lumpy in terms of the quarters and years. We set that goal of $300 million in real estate sales. It's aggressive but achievable. And you might remember that in Mark's remarks at the investor conference, he actually said he thought there was some upside to that, which isn't in the targets that we set. So we're not trying to time it at all. We're going to go as fast as we can and put the money in the bank as fast as we can.
Kevin Boone: And so I think we're done with all the questions, so we'll wrap it up here.
Operator: And thank you. This concludes today's teleconference. Thank you for your participation in today's call. You may go ahead and disconnect at this time.